Operator: Welcome to the DT Midstream third Quarter 2023 Earnings Call. I will now turn it over to our speaker today, Todd Lohrmann, Director of Investor Relations. Thank you. Please go ahead.
Todd Lohrmann: Good morning, and welcome, everyone. Before we get started, I would like to remind you to read the safe harbor on page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to non-GAAP financial measures. Please refer to the reconciliations to GAAP containing these. Joining me this morning are David Slater, President and CEO, and Jeff Jewell, Executive Vice President and CFO. I'll now turn it over to David to start the call.
David Slater: Thanks, Todd, and good morning, everyone, and thank you for joining. During today's call, I'll touch on our financial results provide an update on construction of our growth projects and latest commercial activity. I'll then close with some commentary fundamentals before turning it over to Jeff to review our financial performance and outlook. So with that, we had another strong quarter and business continues to perform in line with our full year plan giving us confidence in our full year adjusted EBITDA guidance for 2023, and early outlook for 2024. We are reaffirming our 2023 adjusted EBITDA guidance midpoint of $915 million and narrowing the range to $905 million to $925 million reflecting the solid business performance to date. Our construction team continues to make great progress on our growth projects and I wanted to commend them for all their hard work this year, as they overcame many supply chain and weather challenges. In late August, we placed our LEAP Phase 1 expansion in service which was well ahead of schedule and on budget. The expansion capacity immediately filled up and has been running flat out since the in-service date. The team has quickly turned its attention to our Phase 2 expansion which remains on track for a Q1 2024 in service and will be followed by our Phase 3 expansion in Q3 2024. We remain in active discussions for LEAP Phase 4 expansion and the recent successful completion of our Phase 1 expansion demonstrates our ability to serve our customers in a timely and efficient manner, an important consideration for producers seeking to reach the attractive Gulf Coast LNG markets, as well as those customers seeking fee gas supply certainty. As you know LEAP is strategically located to serve growing demand on the Gulf Coast, and we are excited to announce that we are building a new one Bcf a day interconnect with the Gillis Access project. This will provide further direct access to the Louisiana industrial and LNG corridor. Following the expected Q1 2024 in service of our new Gillis Access interconnect, LEAP will be directly connected to approximately 6 Bcf a day of expected new LNG export demand growth, further strengthening our competitive position. Upstream of LEAP on Blue Union, we are building a new 400 million cubic feet per day supply interconnect with a third-party processing plant in the Carthage area, which will add incremental supply to our network and continue to diversify our customer base. Last quarter, we announced a final investment decision on a new greenfield gathering opportunity in the Ohio and Utica. Construction is progressing on budget and ahead of schedule, with the project now expected to go in service in early Q1 2024. As a reminder, we expect volumes to ramp over an 18- to 24-month period as our customer executes on its development plan and delineates this emerging play. And our revenues are fully protected under a take-or-pay contract structure. This is another great example of the excellent work from our construction team and their ability to execute on short-cycle investments. On NEXUS, we've recently added 50 million cubic feet a day of new capacity through an amendment to our Texas Eastern lease, which feeds the NEXUS mainline. NEXUS volumes have been running near all-time highs and we continue to see a strong demand pull for pipeline takeaway capacity from Appalachia. Our expansion of the Appalachia Gathering system is expected to be in service by the end of the year which also directly feeds NEXUS. So there is definitely a lot of positive momentum building for this asset, as it offers critical egress capacity to strong growing and durable markets in the Midwest and Eastern Canada. Turning to our energy transition platform and our CCS project in Louisiana. We are currently working through our Class V well permit with the Louisiana DNR which will allow us to drill a characterization well. Assuming the test well results confirm our favorable view on the geology, we would seek to reach final investment decision in the first half of 2024. Finally, I want to take a moment to address the natural gas market fundamentals and producer activity across our assets. There has been a lot of focus on the short-term price of natural gas this year, which has certainly impacted producer activity and a portion of our asset portfolio. The resulting impact however is one of timing a deferral of drilling and completion activity. When not if decision by producers, waiting on the right price signal. Storage surplus, which has fueled weak cash prices, experienced a steady decline this summer, driven by strong power generation demand and has resulted in a more balanced market in the short term. Long-term forward pricing in the $3.50 to $4 range in 2024 and 2025 is supportive of US domestic production activity and growth. Domestic natural gas demand continues to grow and demonstrate its durability and importance to our economy, especially in the power generation sector and we are seeing this firsthand across our pipeline portfolio. Stable and reliable US-sourced LNG is also in high demand across the world, as the US continues to grow its export capabilities primarily on the Gulf Coast. These long-term fundamentals are very supportive of our assets and the future growth prospects for the company. This is reflected in our deep backlog of organic growth investment opportunities, enabling us to deliver distinctive growth for many years to come. I'll now pass it over to Jeff to walk you through our quarterly financials and outlook.
Jeff Jewell: Thanks, David, and good morning everyone. In the third quarter, we delivered overall adjusted EBITDA of $236 million, representing a $12 million increase from the prior quarter. Our Pipeline segment results were up $6 million from the second quarter, reflecting the impact of the early in-service of our LEAP Phase one expansion. Gathering segment results were $6 million greater than the second quarter, reflecting higher revenues on Blue Union and lower overall O&M. Operationally, total gathering volumes across the Haynesville and Northeast averaged approximately three billion cubic feet a day in the third quarter up close to 100 million cubic feet a day from the prior quarter. In the Haynesville volumes were up compared to the prior quarter driven by the return to full operational capacity following the maintenance outages observed in the second quarter. In the Northeast volumes were in line with the second quarter. As David previously mentioned, we are reaffirming our 2023 adjusted EBITDA guidance midpoint of $915 million and narrowing the range to the $905 million to $925 million reflecting the strong year-to-date business performance. We are also raising our distributable cash flow guidance range to $650 million to $675 million, a midpoint increase of approximately $13 million due to favorable distributions from our pipeline joint ventures. Our committed capital over 2023 and 2024 of approximately $800 million remains unchanged with approximately $100 million committed in 2024 providing the opportunity for excess free cash flow allocation next year. If growth investments do not reach FID for 2024, we will evaluate the most accretive options for excess cash flow with our current view that it will likely be deployed towards debt reduction. We are committed to preserving the strength of our balance sheet and achieving an investment-grade credit rating. We expect to end 2024 with an on-balance sheet leverage ratio of 3.6 times or below and 4 times or below including our proportional share of debt at our joint ventures. Over the course of the five-year plan we expect to delever to the low 3-s with our on-balance sheet debt and to the mid-3s assuming proportional consolidation. Finally, today we also announced the declaration of our fourth quarter dividend of $0.69 per share and we are committed to growing the dividend in line with cash flow. I'll now pass it back over to David for closing remarks.
David Slater: Thanks, Jeff. So in summary we are feeling confident in our full year guidance for 2023 and early outlook range for 2024. Our short-cycle growth investments continue to track on budget and on schedule with some projects running ahead of schedule resulting in meaningful growth contributions in 2024 and 2025. Our approach to capital allocation remains thoughtful and disciplined with our focus on spending within cash flow over the balance of our five-year plan and achieving an investment-grade credit rating. As we look across the portfolio, we continue to see significant growth opportunity with our integrated and strategically located asset footprint building torque and our capital investment program laying a strong foundation to build upon. We can now open up the line for questions.
Operator: Thank you. [Operator Instructions] The first question is from Jeremy Tonet from JPMorgan. Your line is open.
Vrathan Reddy: Hi. Good morning, guys. This is Vrathan Reddy on for Jeremy. For my first one I just wanted to ask on the project backlog, are you guys able to provide any color on the incremental interconnects announced this quarter and maybe just kind of what that means for CapEx going forward?
David Slater: Good morning. This is David. That CapEx related to those interconnects was contemplated in our current committed capital guidance. So there's no incremental capital associated with that in our capital guidance.
Vrathan Reddy: Got it. And for -- the next one I guess I just want to get your thoughts on DTM's competitive positioning within the Haynesville and ability to grab new volumes. If you could just speak broadly to your thoughts there that would be great.
David Slater: Sure. So both of those items that we just talked about further enhances our competitive position. I think as I look at what's coming in the next two to three years, clarity on project execution and timing is critical for new customers. Obviously, a competitive rate is important and price transparency is also important. So as I think about LEAP's competitive position, we score very well on all those criteria. And as this new Gillis Access project is built and in service. Venture Global is the primary underwriter of that expansion so -- and as we all know there are growing their LNG export capacity significantly in the next couple of years. So LEAP is now very well connected and will be even better connected to all the LNG export facilities by the time that project completes. So we're in a very strong competitive position just like the earlier round of expansions we did very well. I fully expect in the next round of expansion. We're in a really good spot to deliver high-quality service for any shipper looking to egress the Haynesville and serve these markets as well as providing supply security and certainty to these new export facilities that need to reach back and procure supply out of the Haynesville.
Vrathan Reddy: Great. Thanks for all the color.
Operator: The next question is from Michael Blum with Wells Fargo. Your line is open.
Michael Blum: Thanks. Good morning, everyone. So I realize you're not providing 2024 CapEx guidance yet. But just wanted to make sure I'm understanding correctly what you said so far. So you have about $100 million committed and -- so far in 2024 and you're saying that you'll get to 3.6 times leverage or better by the end of 2024. But does that -- that assumes that those other, like that number doesn't change for 2024 in terms of CapEx or you'll get there regardless?
David Slater: Yeah. Great question. So as we sit here today, the committed capital is what we've said for 2024. And the simple math is $400 million $450 million of free cash flow after dividend. So there's a significant amount of uncommitted capital for 2024. We're obviously working on projects as we speak. We expect we will be successful on some of those projects. So you'll -- we'll provide a clearer update on the year-end call as to how much of that will be committed in 2024. But as I sit here today, best view of 2024 as I expect there will be some excess free cash flow as Jeff alluded to in his comments. And again, as we sit here today that likely goes to debt reduction for 2024.
Michael Blum: Okay. Got it. And then I'm sure you're well aware of the recent press articles talking about Millennium Pipeline, the piece you don't own being in the mix for sale. So I hate to beat a dead horse, but since it's back in the news figured I'd ask you to just comment again how you're thinking about that since it seems like maybe it's back in play. 
David Slater: Yeah. Thanks for that question. Yeah, I don't really have any comment on that. I mean we've talked about this for many quarters and most of the year. From our perspective nothing has changed. I think our partner has a very full plate of activities that are in front of them and wish them the best with that, but our view hasn't changed. We're very happy with the asset. We're very happy that we're the majority owner of the asset. The asset has performed exceptionally well this year. Beyond pro forma when we acquired grid's interest a year ago, and again I'm not going to add to any comments that I've made previously on this topic and I think this is probably a question really for TC.
Michael Blum: Got it. Understood. Thank you.
Operator: The next question is from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey, good morning, everyone. Thanks for the time. I wanted to just pick up on maybe two things for the EBITDA guide for 2023 and 2024. Third quarter was better than we expected, but we had -- you guys narrowed the range but didn't guide us higher in 2023. Are there any offsets for fourth quarter that we should think about versus your current run rate? And then for 2024 you guys have added a few projects, pulled forward a few projects but that number is also unchanged. Wondering if you can just bridge the gap on both of those? Thanks.
David Slater: Sure. Good morning, John, great question. So I'll talk 2023. And, yeah, we had a really strong quarter here in Q3, which will set us up with high confidence for delivering the year -- this year. We narrowed the band just reflecting what I'll call the water under the bridge so far this year. As you know we like to deliver strong years. So I'll just leave it at that. In terms of looking at Q4 and I'm inferring from the way you asked the question, how does the gathering side of the business look in Q4, I'll refer you back to my comments, my fundamental comments in my opening remarks we've all heard from a lot of the public producers that there's been a deferral and delay of some of the completion activity as a derivative of the low prices that they experienced this summer and earlier in the fall. So that's going to play through. It will play through. But again this is a very short-term phenomenon. It doesn't change their long-term plan and how they expect to use the system long-term. So it's a timing issue. So I'll leave it at that for comments on the balance of this year. In terms of next year, it's our practice to refresh and update the prompt year on the year-end call. And will digest all the puts and takes across the portfolio and play that through for 2024 and for 2025 and it has been our practice to always give an early outlook plus a year. So I think we'll just leave our comments until the year-end call. And the reason why we do that John just for everyone's benefit is so that we have high confidence in the guidance that we provide to you is that we wait as you would expect we get a lot of information from all of our customers. That information becomes much better, crisper and more reliable as you get to the end of the year and the January time frame when they're locking down their plants. So that gives us high confidence in the guidance that we provide for the prompt year and gives us a lot of confidence in the prompt plus year as well. So, a lot of the focus that we'll have on 2024 is going to be on the gathering side of our business, the pipeline side. As we've talked about all year, it's been performing -- just outstanding performance on the pipeline side of our business. And as you know, that's the largest portion of our business, that's about two-thirds of our business. So we've seen some really strong fundamentals playing out both in the south around our LEAP asset as well, across all of our pipeline assets in the North and that gives us tremendous confidence for the year and for the years ahead. So...
John Mackay: That's great. I appreciate all that detail there. Maybe just looking in quickly on the interconnect following-up with an earlier question. I guess just curious from our side, are you expecting this to bring on kind of material incremental volumes onto LEAP above what you were expecting or is this kind of more about adding flexibility for your existing shippers and kind of existing flows?
David Slater: I think it's all of the above, John. I mean the interconnect with the Gillis Access project, I think is very strategic long-term and puts us in a really strong competitive position to serve that growing demand, adding supply to the Blue Union system just puts more product on the system, more customers on the system diversifies our customer base. And all of that strengthens the competitive position of the entire Haynesville asset footprint and gives us tremendous flexibility to offer lots of different services to the different customers. So it's -- I expect it's going to be positive in the short-term, but it's also going to be very positive in the long-term in terms of making this network a very attractive network when people have choices as to how they want to move their gas process and treat their gas and ultimately deliver their gas to the different market hub delivery points out of the basin.
John Mackay: That’s great. Appreciate the time today.
Operator: The next question is from Spiro Dounis with Citi. Your line is open.
Spiro Dounis: Thank you. Good morning David, good morning Jeff. Wanted to just go back quickly to the Haynesville Gathering volumes. You've addressed a little bit of this I want to put a finer point on it. Saw them kind of bounce back in 3Q versus the maintenance in 2Q. Just curious as we go forward you're thinking about that cadence from here as these lead phases come online is that going to draw incremental gathering volumes in or are you sort of moving them off other systems on to LEAP?
David Slater: Yes, great question. It's going to be both. It's going to draw in incremental volumes onto the network. And it's going to have volumes that are currently being delivered to other third-party pipes likely stay on the network in the future. So, it actually does both Spiro.
Spiro Dounis: Okay. And I think you had mentioned that Phase 1 kind of came on and filled quickly based on what you just said it sounds like these next phases you're expecting something similar there as well?
David Slater: We're highly optimistic, so the answer is yes. Yes, the -- how quickly that first phase filled was -- I think it even surprised us a little bit how strong the demand pool was. And if you look at the pricing in the market you'll see that price signal being broadcast in the market. The pricing signal is saying we need more gas at Gillis. So, fundamentally that's very encouraging for Phase 2 and Phase 3.
Spiro Dounis: Great. And then just a second question. David you talked about the right price signal for producers. And I'm sure there's no magic number but you also talked about this range looking forward in kind of the $3.50 to $4.25 range is supportive. I guess is that kind of the pricing range that we should be thinking about? And if that's already prevalent I guess what are we waiting for to see producers start to mobilize here?
David Slater: Yes, I think that is the price band that is going to trigger what I'll say producers are kind of getting back on the gas pedal so to speak. All of that is premised on a balanced market fundamentally supporting that price. But I'd say just like there was a delay on producer reaction to that that low $2 price that showed up in February timeframe. I expect there will also be a delay on the uptick in the pickup. I think producers are going to want to see the durability of the current pricing. And this is just my opinion. And I'm sure, I would ask this question to the public producers, as well. But I suspect, they're going to want to see a couple of months of that price sticking in the market, before they sort of pour more capital into the drill bit. But that's just my opinion. I think there will be a bit of a lag, before we see that ramp up and the pickup of activity. And like I said in my opening comments, I think this is a very short-term phenomenon. It's not an if question, it's a when question. And whether that pickup happens in November or in January, it doesn't have a material impact on our long-term view and our long-term outlook.
Spiro Dounis: Helpful colors always. Thanks for the time guys.
David Slater: You’re welcome.
Operator: [Operator Instructions] The next question is from Keith Stanley with Wolfe Research. Your line is open 
Keith Stanley: Hi, good morning. Just some questions on the CCS project. If you were to FID the project would the bulk of the capital spending be in 2024 or more likely in 2025, on the current plan? And then, can you remind us on how this ties to eventually paying more in cash taxes when you would expect to start paying more in cash taxes, and how that aligns with the start-up of the CCS project?
David Slater: Sure, Keith. Good question. So, assuming the FID, CCS in 2024, you're correct. The capital will be spread out over likely a multiyear time frame like 2024, 2025, time frame. So it will not all hit in one year, which again is I think why we're telegraphing our early view that we likely will have uncommitted free cash flow in 2024 again, based on the information that we have today. Jeff, do you want to address the other part of that question?
Jeff Jewell: Yes, sure. Our thought is around the cash taxes will start increasing probably around the back part of the five-year plan we're talking 2026 2027. And then depending on final rulings around how the 45Qs is going to get played out as the direct pay or various other things that will sort of factor into our cash taxes also. But again, our -- the increase in cash taxes is not going to be material for us. So, that's our current view around that.
Keith Stanley: Thank you.
Operator: We have no further questions. At this time, we'll turn it over to David Slater for any closing remarks.
David Slater: Well, thank you very much for your interest in DTM and we appreciate all the support and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.